Operator: Good day, and welcome to the Land's End Fourth Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. As a reminder, this call is being recorded. I would now like to turn the call over to Bernard McCracken, Chief Accounting Officer. You may begin.
Bernard McCracken: Good morning, and thank you for joining the Land's End Earnings Call for a discussion of our fourth quarter and fiscal 2021 results, which we released this morning, and can be found on our website, Lands’ End.com. On the call today, you will hear from Jerome Griffith, our Chief Executive Officer, and Jim Gooch, our President and Chief Financial Officer. After the Company's prepared remarks, we will conduct a question-and-answer session.  Please also note that the information we're about to discuss, includes forward-looking statements. Such statements involve risks and uncertainties. The Company's actual results could differ materially from those discussed on this call. Factors that could contribute to such differences include, but are not limited, to those items noted and included in the Company's SEC filings, including our annual report on Form 10-K and quarterly reports on Form 10-Q. The forward-looking information that is provided by the Company on this call, represents the Company's outlook as of today, and we do not undertake any obligation to update forward-looking statements made by us. Subsequent events and developments may cause the Company's outlook to change. During this call, we'll be referring to non-GAAP measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of non-GAAP financial measures to the most directly comparable GAAP measures, can be found in our earnings release issued earlier today, a copy of which is posted in the Investor Relations section of our website at Lands’ End.com.  With that, I will turn the call over to Jerome Griffith.
Jerome Griffith: Thank you, Bernie. Good morning, everyone, and thank you all for joining us today for a discussion of our fourth quarter and full year performance. Looking back at 2021, I'm incredibly proud of our performance, particularly in light of the industrywide challenges we faced. We delivered 15% revenue growth, and 39% adjusted EBITDA growth for the year, despite global supply chain headwinds. We also generated the highest revenue the company has seen since 2011, and the highest adjusted EBITDA since 2014, which was the first year as a public company after our spinoff from Sears. This performance demonstrates the strength of our business model, and the strong execution and resiliency of our teams, as we continued to advance our strategic growth pillars. As I shared in the past, we believe the size of our total addressable market has grown, and we have the opportunity to gain long-term. Beyond strong sales growth, we hit a record high number of customers in the US, approximately 5.8 million, representing 5% growth versus prior year. The US e-commerce also delivered strong results, as average unit retail and revenue both achieved growth of over 6% versus 2020. I'd like to thank our team for their commitment and dedication, as they continue to perform at a superior level throughout this challenging operating environment.  Now, I will provide some brief highlights from the fourth quarter. While our year was outstanding, our fourth quarter performance was impacted by supply chain challenges that we, along with the rest of the industry, continue to navigate. As a result, Q4 performance was slightly below our expectations, with revenue up 3% and adjusted EBITDA of $27 million. We continue to make steps to mitigate these impacts, while maintaining our focus on our four strategic growth pillars. Starting with product, our successful let's get comfy campaign, continues to resonate with consumers, and we plan to carry this message forward, as we know that casual, comfortable apparel remains the top priority for our customers. We believe that the strong casualization trend is here to stay, with comfort and versatility remaining important product attributes, as we collectively emerge from the pandemic. Our customers love our one closet focus, versatile assortment, as well as the broad range of sizes and the consistent quality of our fit that we offer. As we highlighted last quarter, fit is a critical component of our product offering. And according to True Fit, Lands’ End is ranked as the number one favorite fit with consumers ages 55 to 64, and is ranked number six in fit overall. We know that our product offerings continue to align with customers’ needs based on the strong sell-through that we saw with in-stock merchandise. Importantly, our basic products where we have implemented our demand forecasting and replenishment programs, were areas of strength. Trends in cashmere sweaters, khakis, woven categories, dress pants, dress separates, and women's dresses, were strong, as our customers began to refresh their wardrobes in preparation for a return to more routine activities. Performance in our home category was also strong, driven largely by our betting offering. The momentum in sleepwear continued, becoming one of our leading categories, as we continued to build upon last year's successful offerings. We also benefited from our swimwear business, where the category is extending well beyond its historical selling season, due to our more versatile and expanded offering. Turning to our marketing investments, we continue to drive our customer engagement and attract new customers to the brand through our refinement of our SEO functionalities, investments in social media channels, and catalog efficiency. For the year, our global customer base grew 5% to 7.1 million, with a record number of new customers. Search engine optimization remains a highly efficient marketing tool for us to attract new customers and drive frequency among our existing customers. Turning now to our third-party partnerships. Our performance at Kohl’s continued to exceed our expectations, and we remain very excited about this partnership. We are continuing to extend and grow with Kohl’s, as we look to build on our early strength. We also introduce a limited test with QVC in the fourth quarter. We plan to expand our offering this spring, and are highly encouraged by the early results. These partnerships are proving to be highly effective vehicles to expand our brand awareness, and our product is resonating and attracting new customers with similar profiles to the Lands’ End demographic. We're proud of our accomplishment over the past few years, building a solid foundation with proven strategies to drive long-term profitable growth.  With that, I will turn the call over to Jim, who will provide you with greater detail on our financial performance during the fourth quarter, and our outlook for 2022.
Jim Gooch: Thank you, and good morning. We're proud of our performance this year. Our total revenue increased15% to $1.6 billion, our highest revenue since 2011. We delivered record US e-commerce revenue, with growth of 7% in 2021, on top of 6% growth in 2020. We also grew our adjusted EBITDA by 39% to $121 million, and expanded our adjusted EBITDA margin by approximately 130 basis points to 7.4% for the year. Our ongoing focus on profitable growth enabled us to deliver our best adjusted EBITDA since 2014. Despite strong demand in the fourth quarter, supply chain challenges continued to create headwinds for our business, resulting in fourth quarter performance slightly below our outlook. I would like to reiterate Jerome’s comments on how proud we are of our team's efforts to navigate these challenges, and allow us to deliver continued topline growth, despite meaningful supply chain challenges that resulted in inventory constraints. For the fourth quarter, as compared to last year, total revenue increased 3.2% to $555 million. Following a strong Cyber Week, we experienced intermittent shipping delays through the remainder of the quarter, which impacted our in-stock position and certain key items. These delays have extended into the first quarter, and I'll speak to that shortly. Our global e-commerce sales decreased 4.4% from 2020. Within that, our US e-commerce business decreased 2.2% from 2020. And while our international business did decrease 14.6% in the quarter, it still showed a 10.8% increase versus 2019. Revenue for our third-party business continues to be very strong, increasing to $36 million, a $15 million or 70% improvement compared to last year. This increase was driven by strong performance at Kohl's and Amazon, particularly as we expanded our entire store assortment to an additional 150 Kohl's stores during the third quarter, while continuing to offer our full product assortment online at Kohl's. in our outfitter business, sales increased 43%, driven by our national accounts and school uniform businesses. Demand in our travel related national accounts continues to accelerate, as leisure travel recovered and airlines have been hiring to meet increased demand. We are seeing strong consumer purchasing patterns in our school uniform business, as students resume normal in-person schedules. While our small to medium size businesses continue to recover, we remain confident that the improved digital capabilities and customization initiatives we're putting forth, will drive improvement for this business over the long term. Moving to our retail business, during the quarter, we delivered revenue of $16 million, improving 30% from 2020. we're pleased with the performance of our same-store sales, increasing approximately 32% as compared to the fourth quarter of 2020. Gross margin in the fourth quarter decreased to 35.9%, approximately a 360-basis point decline from 2020. The margin compression was entirely a result of higher shipping costs, which were greater than expected, and we believe will remain elevated in 2022. As a percentage of sales, SG&A was 31%, approximately flat to 2020. Leverage on higher sales and continued expense controls were offset by increased digital marketing investments to attract new customers and higher distribution center labor costs. These factors led to net income for the quarter of $7 million or $0.21 per share, compared to a net income of $20 million or $0.60 per share in 2020. In addition to these GAAP measures, adjusted EBITDA is an important profitability measure that we used to manage our business internally. For the quarter, adjusted EBITDA was $27 million. For the year, we delivered adjusted EBITDA of $121 million, which is a $34 million or a 39% increase compared to last year.  Looking at the balance sheet. Inventories at the end of the quarter were $384 million compared to $382 million a year ago. While inventories were in line with last year, we have a significant increase in our in-transit inventory due to the ongoing shipping delays. We delivered strong sales growth in the first half of 2021, driven by strong demand for the Lands’ End brand, reflecting the success of our merchandise and marketing strategies. Looking at the back half of 2021, we experienced inventory constraints related to supply chain challenges. As a result, we expect sales trends year-over-year to be stronger in the back half of 2022, as compared to the first half. With that context in mind, for the first quarter, we expect net revenue to be between $320 million and $335 million. We expect a net loss of $4 million to $2 million, and diluted loss per share to be between $0.12 and $0.06. We expect adjusted EBITDA to be in the range of $12 million to $15 million. Our guidance for the first quarter also assumes approximately $15 million in incremental shipping expenses as a result of elevated global supply chain costs. For the full year, we expect net revenue of $1.68 million to $1.75 billion. We expect net income of $24 million to $35 million, and diluted earnings per share to be between $0.71 and $1.04. We expect adjusted EBITDA to be in the range of $105 million to $120 million. Our full year guidance assumes approximately $40 million in incremental shipping costs, including the $15 million we assumed for the first quarter. We expect gross margin pressure to begin to abate in the second half as we lap higher global supply chain costs. Despite these transitory supply chain headwinds, our brand remains strong and we are confident in our ability to reach the five-year targets we provided in January. As a reminder, we provided our long-term outlook of a 10% revenue CAGR, and a $5 EPS for fiscal 2026. As drivers of these targets, we expect to achieve this revenue through organic growth in our global e-commerce business, expansion of our compelling third-party partnerships, and the planned customization transformation in our outfitter business. In terms of profitability, we assume gross margins will be largely stable or slightly increased, driven by optimization of our promotional productivity, leverage from our longer-term pricing strategy, and enhancements to our inventory management. We're also planning to improve our SG&A rate through higher sales leverage and continued cost efficiencies, partially upset by brand-building marketing spend.  With that, I'll turn the call back over to Jerome.
Jerome Griffith: Thanks, Jim. Given the strength we're seeing in our customer file, we remain highly confident in the long-term outlook we provided to you in January that Jim has just highlighted. Looking forward to 2022, we will continue to leverage our digitally-led business model to advance our four strategic pillars of growth, which include product, digital, unit channel distribution, and infrastructure. Starting with product, we will emphasize our let's get comfy messaging with our one closet focus and consistent fit capabilities, as we introduce seasonal colors and knits and transitional outerwear this spring. We will continue to leverage our use of data analytics to inform product assortments, as we adapt to consumer needs. We believe our customers will continue to favor comfort as they return to more normal activities and emerge from the pandemic, and we will consistently deliver on that need.  Our marketing initiatives will remain focused on driving long term customer growth. Building off our for successes, we plan to invest more deeply into new customer acquisition, and recently engaged Gary Vaynerchuk's VaynerMedia agency, to accelerate that initiative. As part of this effort, a brand campaign exploration is underway, with the goal of creating a top-of-funnel marketing campaign to further differentiate our brand from our competitors. We're also launching our new product collaboration with Blake Shelton in the fall of 2022. We're very excited for this collection, which will offer a broad range of categories, including woven shirts, denim, outerwear, knit tops, and sleepwear. We believe that both of these initiatives will provide meaningful brand-building opportunities for Lands' End. We also remain highly encouraged by the meaningful opportunities to extend our third-party partnership, grow our nascent Marketplace offering, and continue to launch exciting collaborations. Moving to Lands' End Marketplace, while we remain in the very early stages of growth, we are pleased with our performance and the longer-term opportunity Marketplace provides. We're thrilled with our Kohl's partnership, and the compelling growth opportunity we see. We are now present in 300 doors and continue to offer our full assortment on kohls.com, which is resonating with the Kohl's customer. In 2022, we plan to expand our assortment to 500 doors, as well as increase our swim offering to over 100 incremental doors. These expansions will bring our total Kohl's store count to over 600 doors. Following a successful initial test, we're excited to be launching our QVC this march. We will continue to build on our successful partnerships, as well as seek to increase partnerships and distribution expansion opportunities. In addition to QVC, our goal is to launch one to two new partnerships in 2022.  Turning to our outfitters business, performance again exceeded our expectations during the quarter, due to better-than-anticipated trends in both our national accounts and school uniform businesses. Given the strength in leisure travel and a return to in-person schooling, we expect demand in both businesses to remain strong. Our small and medium-sized accounts continue to see a slower recovery. However, we're excited about the steps we're taking to enhance our website, process, and customization capabilities. The planned customization transformation of our small and medium-sized accounts, provides an opportunity to deliver a seamless customer experience for personalized apparel and hard goods.  In conclusion, despite the current macro challenges, we remain pleased with the results for the full year, as well as the underlying strength of our brand and dynamic digitally-led operating model. We will continue to execute against our proven pillars of growth, and build off of our powerful foundation to capitalize on the meaningful opportunity we see ahead. With a strong and growing customer base, high customer retention, expanding third-party partnership business, and a compelling and proven global e-commerce business, we are positioned to drive long-term profitable growth and deliver shareholder value. With that, we'll open it up for questions
Operator: